Operator: Mr. Golden you may proceed. Mr. Golden you may proceed. [Technical Difficulty] For this is colleagues, we are focused on the year of 2007 rather than the quarter, Brian will give in-depth details, both on the year and quarter. But I thought I will review for you and just try to put some things in context and after Brian goes through the details, I will come back and have a few personal comments on the announcement we made about the shifts and the roles within the company. So let's get started and talk about the year. As you know, hopefully you've seen the press releases and you will see that 2007 was a strong year for us, both in revenue and overall [ph] growth. Revenue were up 16% and that was driven by our internal growth at 10% at the top engine of our forecasted range, plus a very strong acquisition year, which I will comment more about a little later. In addition to that we had strong service growth revenue at 12% internal growth. And that was a combination, as it has been often a lately a strong complementary services in the project space, as well as of course increasing recycled paper prices from our shredding business. But the company serviced, I want to remind you does swing around, it typically represents about 13% of our revenue mix historically and it can move up and down, you will see reflected in our guidance for 2008, a little slower complementary service year that is primarily driven off high comps we are coming over and again we'll give you those details. We're not sending any signals about the business relative to the counting year performance, I think the message you should read in our guidance and what we are today this business is performing well and this business is usual going into '08 is the way we see it right now. OIBDA growth was 15% for the year excludes one time gains. It's the good year of operations. We completed about 20... not above 20 acquisitions or 20 deals and nearly $0.5 billion, this is a very high year for us in acquisition spend and I do not believe that we will that amount of money in '08. We don't see that in our pipeline or in our thoughts in any form or fashion. Time will tell, but we don't see that coming. We did make some positive strides capital efficiency in the business, which is one of our long term goals and CapEx efficiency that is capital expenditures as a percentage of revenue was increased from 15.2% or decrease to... excuse me went from 15.8 in '06 to 15.2 in '07. So we are making on all fronts frankly in the business. Our balance sheet remains strong. We put in this year a global treasury program, which gave us some increased flexibility and how we borrow money and where we move it around as well as what our total lending cost. We also exercised in as you know of a bad credit market our $300 million Cordian [ph] feature of our senior credit line in November and virtually same terms that we had refinanced in last April. That leaves us in a very good position. We have about a little under $0.5 billion dollars of availability under our capacity for launch and those significant debt maturities in 2012. So our balance sheet is strong as you know and I will remind everybody we do want to leverage business. We would intend to maintain the elaborate business and it is all about managing frequent leverage currently that is our leverage ratio is all and it's about 4.5 times, that's total debit, debt to OIBDA. So, we're well positioned to fund our strategies, as we see the opportunities we drive are generally going forward. So, Iron Mountain is in a good position. We had a great year financially and we are really positioned for good year here in 2008. But we did a lot more than just made the bottom-line. As we told you on Investor Day, we're committed to some long term growth revenue and OIBDA growth metrics which will repeat over and over. We operate within those range, we will expect operating in those range in year-in year-out, that doesn't mean quarter-end and quarter-out, but year-in and year-out we'd expect to do that, but we also expect to continue to build our business strategically and I'm very pleased by the results in terms of strategic development throughout the year. So let me go through some of that to give you a sense of how business has changed in past [ph]. So many of that, we hardly speak and it followed the company for long time that you've till I have drawn down for not blowing the phase about a three phase strategy. I'm sure many of you can repeat it better backend and I'm not going to repeat it in depth right now. Except to tell you that and to remind those, the first phase we used acquisitions to build products in markets, the second phase, we built a world class selling organization that's a envy of many to go out and sell new products or sell to those customers and penetrate them and of course we talked a link for some years about moving in the capitalization phase and I can say with that exception, except well without, except for minor exceptions places like China and parts of Asia, we're in the capitalization phase, pretty much everywhere in the world and what that means is really a different approach to business where we maximize on our core businesses and that's penetration, as well as efficiency that and driving into where we spend our money, how we invest our money? It's driving deeper in the customers, as well as driving efficiency in our operations and then of course the global expansion taken that core opportunity to expand our global footprint. We are a... we have a ball [ph] footprint of about 38 countries around the globe and we continue to be some strategic and some opportunistic, as how we enter countries around the globe, but truly we are getting down to the short list now. As I said China before, we've got small footprints in four cities, we'll continue add footprints. But right now they are not costing us a lot of money; it's a long line laying [ph] a long line for the future. It will be a tremendous in the long-term, but our opportunity set in here right now is right front of this and doing well. Our opportunity to set in other parts of the world and still in Europe it is doing well for us. So we feel good about what we've done there. In this other phase, in addition to capitalizing in this last phase of capitalization phase and difference to maximize in the core and expanding on the core. It is about now new services laying out the lines for the long-term, as you know we started an additional business which is one of our main new services, like it is our main new service and for the reason we call all that out a separate line of business. But I should remind you we have other new services that are doing very well for us, our shredding business is rocking and rolling, our DMS business is rocking and rolling. So we laid out lots of opportunities there and they are all starting [indiscernible] in this force. Of course our additional business maintains leadership in the software as the service; in this case storages service business. A model that we feel very good about, a model that is attracting more competitors which is validating the investments we have been making a long time. There is a reason why they are coming in, it's because it's a great market opportunity and we are pleased that we've started early, we've learned a lot and we are doing well there. So lets talk a bit about that maximizing the core that said, solid leadership in North American Physical 13% revenue in OIBDA growth while integrating 10 acquisitions and that's sounds easy given that to those track [ph] that we've done 20 or so year a long time, but one of those 10 was ArchivesOne. ArchivesOne, was the largest independent records management company left outside of Iron Mountain and that was an overlap 17 cities. The work required to deliver the margins that we did and deliver revenue growth we did and to integrate 17 cities open this, it did a great job. Also, we had several new entrants, well I can speak about the market it is we see in the North American market there are several entrants coming in. There is a second round of roll ups coming. Is at least four groups of large capital that we've taken around and trying to roll up the business, which we think is a good thing frankly flush out some more opportunities there are not though any large targets, but they are places we will continue to invest money. We remain a buyer, we will continue to invest where we see good returns and in many cases we have we have the upper hand in the transaction, the ability to integrate, the ability to draw [ph] core value. And in some cases we don't and we so we are going to be prudent and smart about how we invest money, but we're open for business in North America and we will make sure that market out there hears and understands that. Internal growth in North America is still solid at 9%, it's all across the board, we did really well shredding though really helped drive us and they were 19% in the quarter at their modest start in the year is that business as we said is doing well. In fact we have our shredding business that we have not been in we are now starting into our eight year in this business and it's a well a lot now is about a $250 million and it has grown very well on us and very attractive margins and good returns. We also have made significant investments in and investing where the market is moving in our core physical businesses, that's about security and chain of custody, back in 2007 we invested about $46 million of capital investment and about $5 million to the OpEx, improving the quality of what we do for customers and really stepping up the gap between us and the competition. This includes things like system modernization which is an ongoing process. It'll take some time, more transportation and productivity of engineering initiatives and so forth. It improves quality of our service, it improves quality of our security and a good part of that went in to security is our in new control transportation platform which heads us some competitive advantages over anybody out there. So all in all, North America is doing a great job. They are not only maintaining good growth, good margin, they are enhancing improving their business and they are digging deeper and deeper and frankly we got a long way to go where there is lots of opportunities in that business, both on the growth side as well as the margin side. On the footprints expansion globally, it continues to work our international business, it grew 25% on an internal growth rate of 12 Latin America and Asia Pac both did well. They're smaller businesses, although Latin America under our own eyes, it's has grown up to be a beautiful business and they're just doing a super job down there. And we continue to expand our presence in Continental Europe and we are not finished in Europe, but we are pretty much finished. There're still a few cities that it will make sense for us get into there. In addition to that it is not just about footprint, it's about building out management team, it's about building out people who can take that footprint and take it back to strategy of maximizing on the core. This would create and add to the core than you have to maximize in the core, so it's the cycle we have to go through. We've made tremendous progress in that space and we like what we see going on in there. We have some challenges, it's not like the world is perfect and rosy, if it were, life would be too simple and other people would be doing this but, we have some select challenges and particularly in the UK, they had great results, but the storage growth rate is not where we like them to be. That's some related to increased destructions and withdrawals. Part of that is outside of our control, and a normal phenomenon, one we've seen in the U.S., and that is some of our large financial services, our companies and banks and so forth, go for a while of not doing any destructions and then as they have put in place the compliance regime to really respond to the new world that they have to operate in, then they go back and do catch up. By the way, that's a... just so you understand, it's not only a normal thing, it's a thing we sell services, encourage people how to do that. We have a consulting practice to repeat them, in certain we stimulated a lot of this, so its not something that we worry about, its... in fact something we make money on every step of the way, both on the consulting side as well as it allows us to churn our asset base a little better, it's one of the things that will contribute to the increase on return on assets and so forth. Volume growth continues to do well there, but it's not what we wanted it to be at this stage and we think we can make it work. Looking forward to box growth rate, in the UK is about 5% and that paper storage is about 9%. All in all, we think we've got some upside there that we can work on. We entered 11 new countries, I would say this year, and so we really did do a lot of footprint work, I know you've heard about them, but just to review on them, does well on a good number in Southeast Asia through it's joint venture over there, to a joint venture we went into Russia, we started in Moscow, we announced Moscow and St. Petersburg, when you... by the way just a comment and this is just a stupid American talking or I would say the angered American talking, but when you look at some of those markets, when you look at cities in Russia and cities in China, that stupid American does not even know the name and you start looking at the market opportunity dynamics, it blows your mind. The upside opportunity of laying these long lines, over the long term is going to phenomenal. It just blows me away of what I see over there and what I see in opportunity now. That's not going to happen in 2008, let's just be careful. We lay in long liens, the good news is to the joint ventures, structure we're not investing significant capital. We're able to lay long lines and we're going to be there as that market involves and be able to take advantage of it. Other markets entered Denmark, Turkey, these came through joint ventures and then of course acquisitions, some additional fold-ins in work in the UK, Italy, France, Ireland and the Netherlands increasing our presence and just building more scale in some of those markets. And as you know scale in Europe is one of the issues we've been working on scale drives efficiency, efficiency drives margin and so forth and so on and both through internal growth which is strong in Continental Europe as well as do an additional tuck-in acquisitions. We're kind of investing to drive our returns up and make these even better businesses on the continent out there. So far this year, we've done a one shredding in a transaction of Australia, as we expand our footprint in that business. We to date, we brought shredding in all of North America, some parts of South America, Australia, New Zealand and the UK and we will continue to look for a, on a targeted basis just as select market opportunities where it makes sense to enter. It's not a business that will necessarily make sense in every part of the world, because different parts of the world have a different perspective on the value of their information and where pay [ph] to have shredded in that. But where there is a value of recognition and we see the opportunity, we will make that happen. So lot of work done and we are very pleased about what we see there, some work left to be done, but not big in footprint, but more now into maximizing on this businesses as we go. Let me talk about the biggest new service offering that we have been working on some years as we wanted people, just want to focus on them and I'm sure is an additional business. That segment had very good year revenue up 17%, of the nearly doubled. It is free cash flow positive as a business. So it's already generating a slight amount of excess cash flow in above what we are reinvesting back into it. I'm not sure that I'll always be able to say in terms of what we invested in it year-after-year, but it will get increased and more positive [ph]. So this is a good strong business. We've got some leadership and have some attractive targeted segments and are stressed to concept the targeted segments to remind those, we have storage as a service play, but we are not covering, we are not trying to do everything, we are not all things to all people. We are sticking to what we know which is back up of our cash flow and that's something we have in position, a leadership, a brand and expertise and we have an enormous amount of intellectual property with a significant number of patterns in that space and we intend to leverage that intellectual property and knowledge. As we go forward that will give us some advantages that business. Our both... both our business, well I think if you look at all that businesses, there is three of them in it, there is intellectual property management business, there is the digital archive and there is the backup business. Backup still seems as the one that leads the path. There archive business, we are making good progress and starting to commercialize we are not there yet. Some of our new technologies, but our old technology base continues to grow significantly and we have made great progress to reviews in the cost of operations on that. So we are pleased with the progress we are doing there. We have driven scale in the business which was many of you remember was my goal. I have said many times this will be a large market. It will attract large number of competitors but the key is getting to scale. Because once you get to scale you can be you can be profitable; we've reached scale, we've reached the profitability and we can see ways to enhance our profitability. We have strengthen the team in particularly we've added some key people of technology space, and new Chief Technology Officer was a very experienced gentlemen. We had a real track record of building technology companies and we did a significant acquisition in our additional space last year with a company, is Stratify. I could talk for hours but I won't, about what I believe is the upside is the real value, we got with Stratify but net it all out it intellectual property is a team of very strong people lead by Rominav [ph] and Kara and a lot other people I won't name because it will take me hours. A very strong footprint of both the technology as well as profit management both in the U.S. and in India. The ability to work 7 by 24 to solve customer problems, where we have increased the speed and reduced the cost and complexity of the rediscovery which we did for our customers is one of there largest problems painful and they are going to face till date. So we are very excited about the earnings and great to have them on our team. Other new services when I talked about sometime get lost and while I am here to Stratify which is the eDiscovery which attrition our additional space it, absorbs, our total eDiscovery services. We are probably the only vender that can start restoring your information about physical and additional in fact and then make sure that in a total unbroken chain are crusted that information is prepared for and discovered with some of the best technology on the planet to do that annually, your cost value do it. So, we can put that together with our Physical business eDiscovery is the combination of integrating digital and Physical information and bring it to bound our system for lawyers can work with it. And we are pretty excited about that. Other things we've done during the year is we brought a small technology company call Accutrac, that brings us some technology in the records message place frankly will help us avoid some investment we would have done ourselves and we are busy about integrating that in our platform and expanding on it. We will invest more into and make it a core part of our service offering. Net, what it does is gives us a greater tool chess to solving customer problems that links from tied our in with us in the records management space and we will build after that and embed a lot more of our expertise and uses of vehicle to be able to charge for expertise to get paid for that expertise, not just to give it a way as part of our services and so forth. We also give it a transaction in the medical space, health care as one of our strongest verticals where we have the leadership but we bought out a company by the name of RMS who has a very unique product model, business model that was as encashment of our service offering. We saw what they were doing we thought it was creative. We copied it, we liked it, then we order. It's just that simple. And in that we got a great team of people they don't have this, they have a solution here we are going in great detail that really gets deeper into the hospital and makes it a much deeper relationship and just is a much more holistic approach to solving a major set of problems for hospitals. On the back of that you will notice we recently announced a joint relationship with Hewlett Packard for additional businesses. This is the case now mirroring our medical space and expertise with additional partner with HP and it goes like this. HP has some tremendous technology in that space that is use to back up create the disaster recovery copy and take off side and ArchivesOne actually get a 2 for 1 value proposition for hospital, and drain down or reduce their own site storage cost dramatically. For their medical images archives, for the layman that means, CAT scans, MRIs and so forth. It is probably the fastest growing segment of additional data in the world. If your cost over 20 that and probably email. So there is a huge market opportunity, we are partner with HP, both and not just using their technology but it's a partnership in which we and at the HP sales force will excel into this platform and we are the service providers. So this is not the classic partnership where we bought their stuff and get to call at the partners here, this is much deeper much stronger relationship and we are pretty excited about that. We've just start the market, we've got a good pipeline, and I think we got about two customers up and running. So, its very early on... as excited as I am about that, this is a storage and a service business. What does that mean? It's an annuity business. That's the good news, the bad news is, it takes a long time to wrap up revenue recognition and the good news is once you do it just goes on for ever. And what we just added is a major lag in overtime we will continue to add to the flywheel of the business. And then last but not least, is the DMS business, something we started internal within Iron Mountain about 3-4 years ago. We created it with dedicated leadership and it is focus on integrating and leveraging our expertise from the digital side and the physical side and finding the... points for the integration of the two is important to our customers. That's our competitive advantage where we can make the two work together and we've created the platform, we've invested in the technology. In this case we didn't have to invent it, we can use a lot of people's technologies but we have built an infrastructure, we've built a knowledge set and we've got a nice business that's going well on us and a robust pipeline of opportunities out there. So what does that mean for this year, for 2008. Well as I go through the map because it all adds up in all kinds of ways but basically the guidance we put forward is the same guidance we gave you in Investor Day adjusted for the Stratify acquisition. It is guidance, its delivers within our long term objectives, we have set forth and we expect to do that year in and yea out. We feel good about the year. The questions you might ask is what, how do we think about the economy, we're not seeing it right now? Historically to remind those, we might see it if there is a recession but historically it, usually would, it's only had and service revenues primarily an primarily in the complimentary services space as customers have deferrable projects. It will also possibly hit us in some of our software sales base. There's some things we do to customers, license software and complimentary services can differ but what we're talking about would be an impact on our growth rate. It would be relatively small, it would be my forecast if at all and we're not yet seeing it and we feel strong about it that in our guidance, we still believe that we will operate within the range that we're putting forth that we have put forth and we will put forth regardless in the economy, that's our expectations as we set the date. So, we are and we remain a resilient business but of course we're not medium. And that's why we stand at the business, it was a great year. I appreciate the quarter of everybody else speak more about the transition after Bryan talks but let me get off the stage and give it to Bryan. Thank you.
Robert Brennan - Chief Executing Officer: Thanks Richard, good morning everybody. I am on page 3, the agenda slide, just to start Q4 was a solid quarter for Iron Mountain as we finished the year in line with our long term financial goals. Our agenda today is going to begin with the focus of our Q4 and full year P&L results and as part of that review, we'll discuss the key drivers of the Q4 results within the context of our full year performance. We'll also go through cash flow performance, capital spending trends and our year end debt position. And I'll conclude with an update of the preliminary 2008 guidance we provided Investor Day last October and show our outlook for the first quarter. Slide 4, highlights the key messages from today's review, Q4 kept the solid year of financial performance for Iron Mountain. For the full year, we had strong 16% revenue growth with gains across our portfolio supported by 10% internal growth and that is for our major acquisitions. We drove 14% order growth for the year excluding gains on disposition of assets comparable OIBDA grew 15%. We also saw improved capital efficiency in 2007. We're very pleased with this performance which is on track with our long term goals. In terms of our performance in the quarter we achieved strong revenue growth in Q4 above the high end of our guidance range. Total revenue growth of 19% was supported by solid internal growth of 10% including stronger than forecasted product revenues and favorable FX impacts. Additionally $3 million of revenue was contributed by our Stratify acquisition that closed in December. This revenue was not included in our original guidance for Q4 or for the full year 2007. For the quarter OIBDA was within our forecasted range as benefits from revenues upsides were offset by impacts from business mix and increase investments. We're also impacted by year end accruals for items such as workers compensation, medical claims, payroll taxes and incentive compensation which cumulatively were about $5 million above our forecast. In addition to $2 million of insurance gain we forecasted for the quarter was mostly offset by the right authorization of some internally developed software assets following Accutrac acquisition. Let's move on looking at the details of our performance on slide 5. Slide 5 compares results for this quarter to Q4 of 2006. Overall we had another solid revenue quarter supported by balance growth across our key business units which drove the overall increase of 19%. Our largest segment North America Physical, posted 17% growth overall. Internal revenue growth was solid at 9% supported by increasing growth in our secure shredding business, and continued to strength in special project revenues. Overall growth continues to benefit from the ArchivesOne, and RMS acquisitions. Our internal Physical business was up 29% overall, internal growth was 13% driven by high levels of complementary service revenue growth including benefits from large from a large public sector contract which will be ending in 2008. The international segment also benefited from acquisitions that strengthening our global footprint and comparable foreign exchange changes which together added 16% to revenue gains. We also continued to make progress in expanding our digital segment, supported by strong growth in storage revenues particularly in PC and distributors over back up and from benefits from the additional Stratify. In Q4 these gains offset relatively lower softer license sales compared to strong prior year levels and expected impact this year from declining market demand for data restoration projects. Revenue gains help drive a solid 17% year-on-year improvements in gross profit. Gross margins were up moderately for the quarter compared to the same prior year period. These factors driving the global performance included business mix as labor and transportation and tenser services such as shredding in DMS are growing faster than storage and acquisitions. SG&A growth is 20% in the quarter up slightly versus prior year levels to 28.9% of revenues. Cost was driven by, cost was driven by increase investment in the phase stronger revenue growth and the impact of higher compensation and benefit accruals noted earlier, including that for Q4 2006 in Q4 2007, our net gains on the disposition of assets of $10 million and $1 million respectively. Excluding these gains from both years OIBDA grew 15% year-over-year. Depreciation with $61 million and amortization was $8 million, slightly above expectations to Stratify acquisition, the finalization of purchase accounting for ArchivesOne and the acceleration of depreciation driven by a certain plan building moves. Operating income was a $115 million for Q4 2007. Flats of the prior year due to the increase in depreciation, amortization, I just spoke of and a $10 million gain on the asset sales reported in Q4 '06 that we will not repeat in 2007. Slide 6, breaks down our overall revenue growth. It shows internal growth by major service line as well as the impact of acquisitions in foreign exchange which we have added about 9% and 6% high [ph] growth rates for the fourth quarter and full year respectively. Overall we continue to drive strong internal revenue growth of 10% for the quarter in the year. On a full year basis, our core internal, internal growth rates continue to track within our forecasted ranges. Storage internal growth continues as expected with a slightly lower growth rate in Q4 impacted by so much softer than targeted performance in our UK business. Core service remains strong lead by year and year improvements in our North America physical segment including higher growth rates in our shredding services revenues. Complimentary service continues to track above the high end of our range which contributes a strong overall internal growth performance this quarter. The key factors driving high complimentary revenue growth are the continued strength and recycled paper prices and higher levels of special project at JV in Q4 across the geographies. In Europe we realized about $25 million in revenues this year from two large public sector projects. As one of these projects is complete and the other is winding down, this will set up some lapping challenges in 2008. As we've noted in the past these types of changes can lead to largest swings in complementary revenue performance year-to-year. Further it is our complementary revenue that's most likely to be impacted by a slowing economy as company's look to may look to cut cost by differing or canceling new discretionary special projects. We continue to target solid complimentary service growth in special projects but given these factors we expect growth rates on this front to moderate next year. Moving on with our review of Q4 P&L performance, slide 7 bridges our Q4 operating income to net income and EPS results. Q4 results on these fronts were impacted by some select factors and comparisons to prior year one time items. As discussed operating income for the quarter was flat at $115 million impacted by comparisons to prior year results that included a $10 million gain on asset dispositions and increases and depreciation and amortization. G&A grew $15 million verses prior levels in Q4 reflecting increased CapEx spending, the Stratify acquisition, the finalization of purchase accounting for our ArchivesOne and the acceleration and depreciation driven by plan build in groups. Our Q4 interest expense increased comparatively Q4 2006 as expected driven primarily by increased debt for acquisitions most notably ArchivesOne, RMS and Stratify. Other expense were $6 million or $0.02 per share on Q4 primarily reflecting losses related to foreign exchange rate fluctuations as we mark our inter company debt to market. Net income and EPS growth were impacted by an affected tax rate that exceeded our structural tax rate by nearly 8 points. As noted on our last call our estimated structural tax rate for Q4 was approximately 37%. We also noted that we likely see continued volatility in the effective tax rate lead to FX changes and other discreet items. That was the case in Q4. The entire increase in our effective tax rate over our structural tax rate this quarter was driven by the impact of foreign currency fluctuations during the quarter. The FX impact to the effective tax rate decreased our EPS by about $0.03 per share. Excluding impacts from discrete factors, we estimate our structural tax rate for 2008 to be approximately 36%. Turning to slide 8, let's look at our full year performance. You can see that in 2007, we posted strong results. Overall balance growth across our key businesses and service lines as well as favorable benefits from foreign exchange fluctuations this year supported strong mid teens revenue and OIBDA gains. Comparable OIBDA grew 15% when excluding gains on asset dispositions which were $5.4 million in 2007 and $10 million in 2006. And income was up 19% aided by a lower effective tax rate in 2007. Through the implementation of our global treasury program, we lowered our structural rate to 37% in '07. Our ETR was further reduced by benefits from FX changes and other discrete items which added about $0.07 to EPS this year. We are pleased with this performance which factor with our strategic financial goals for the year and is in line with our long term objectives. Lets shift now to reviewing drivers of our cash flow performances. Slide 9 summarizes our capital spending for the year it highlights our full year results compared to 2006 and our last outlook, which was issued on our Q3 earnings call. Our 2007 CapEx was $425 million within our forecast range including $46 million for real estate. Consistent with our long term financial goals we drove improved efficiency and our overall CapEx spend. With CapEx as a percentage of revenues down moderately in 2007 to 15.2%. Note that some of the efficiencies related to business mix, as we continue to see strong growth in our new services, which are less capital intensive than our core Physical business. These capital efficiencies offset the relatively lower margin characteristic of these services resulting in an attractive incremental return on investment. Our spending excluding real estate came in at $368 million, which was slightly over the top end of our projections. This is due primarily to the acceleration of certain projects around year-end particularly with respect to racking an IT projects including chain of cost duty and system monetization issues. As reminder these amount represent CapEx that was incurred and that's accrued during the year. Much of the Q4 CapEx was committed late in the quarter with actual cash payment schedule to occur in the first quarter of 2008. This factor benefit at our 2007 cash flow which I'll speak to more in the next slide. Slide 10 highlights our cash flow performance for the year compared to 2006. For 2007 we generated a $148 million of free cash flow before acquisitions in discretionary investments in real estate. The year-on-year increase in cash over reflects strong profit gains approximately $33 million of insurance proceeds related to one [indiscernible] and relatively low cash paid for CapEx in Q4 due to timing impacts which resulted in a $60 million year-end of CapEx or core balance. As noted these CapEx timing impacts will be reflected in our Q1 2008 cash flows. Looking ahead to 2008, we expect free cash flow before acquisitions and discretionary investment in real estate to be approximately $25 million to $75 million. The major difference between the 2007 and 2008 free cash flow was CapEx. Along with the 10% increase for forecasting for 2008, we have $60 million CapEx accrual I just spoke being paid in Q1. Additionally we are forecasting higher level of cash taxes in our '08 outlook. We are becoming a federal tax payer in 2008 as we've consume virtually all of our annuals. For the year we expect to pay approximately $50 million in cash taxes, compared to the $34 million we paid in 2007. Keeping in mind that free cash flow is best looked at on a full year basis as the timing of certain cash events is not consistent throughout the year. For example, the first quarter is for '08, it's historically our lowest cash flow quarter will be impacted by the CapEx accrual and the payment of annual bonuses. Now let's turn to slide 7, to review our debt statistics. In terms of our debt portfolio, we ended 2007 with solid progress across our key metrics. As you can see in the slide, interest is down slightly to 7.4% and we're 75% fixed. Consolidated leverage is at 4.5 times within our target range of 4 to 5 times OIBDA. Maturity is now at 7.2 years with no meaningful repayment obligations until 2012. Our liquidity is also strong. In November, we exercised the Cordian [ph] feature embedded within our senior credit agreement. As a result we increased our available senior credit by $300 million representing a $190 million of additional capacity on a revolving credit facility and $110 million of additional senior term loans. As of December 31st 2007, we have more than $485 million of cash and availability under revolving credit facility. Now let's move to slide 13, which begins the discussion of our 2008 guidance. Our performance objectives for 2008 were developed within the long term financial framework we shared at Investor Day, shown here in the left-hand chart. Looking ahead to 2008, our guidance remains consistent with these goals which were based around some key things. First, we're biased for growth and intend to invest against the range of attractive growth opportunities we see for Iron Mountain. Secondly, we're committed to driving consistently strong revenue and OIBDA gains, as we advance our expansion strategy. And finally, we will drive strong incremental returns on investment supported by improved capital efficiency over the next five years. For 2008, we are targeting moderate gains in terms of capital spending as a percentage of revenues, despite some significant planed investments in datacenter capacity. The only significant change to our 2008 outlook is the addition of the Stratify acquisition that we closed last December. As we noted in our last call, we expect Stratify to generate in the range of $40 million in revenues without being accretive to profits in 2008, due to impact of acquisition integration costs. Let's now turn to slide 14 and take a look, closer look at our 2008 guidance. Here you can see the current revenue and OIBDA growth ranges, we are now expecting for 2008, compared to the ranges outlined at Investor day. Again the only significant adjustment is the inclusion of the expected results of the Stratify acquisition. Please note that OIBDA growth rates are adjusted for impacts from gains or losses on asset dispositions. Our CapEx outlook in dollars is unchanged, as the impact of CapEx being accelerated into 2007 more than offset the additional CapEx associated with Stratify. As a reminder included in the 2008 outlook is approximately $20 million for expanded datacenter capacity to support the future growth of our digital business. That's our CapEx outlook. We are committed to driving performance in these ranges, despite potential impacts from tougher economic conditions. While we expect to weather on economic downturn better than most, we are not immune to the recessionary environment and we may see the effects of the slowing economy on some of our more discretionary revenue streams, such as special projects and other ancillary services. Let's move on to slide 15 and take a look... closer look at our revenue expectations. The table on slide 15 shows our expectations for internal growth and total growth in 2008, including impacts from FX [ph] and acquisitions. Overall, we are projecting revenue gains in the 10% to 13% range supported by 7% to 9% internal growth. We are targeting solid core revenue growth in 2008 inline with our 2007 performance and our long-term objectives. We do expect lower growth in complementary services this year. This outlook reflects difficult comparisons to 2007 with respect to special project particularly in North America and in Europe and recycle paper revenues as we expect the price to be more stable in 2008. Note that the impacts of the European public sector project lapping that issue alone is about 5 percentage points in our complimentary services growth rate and nearly a point in our overall internal growth rate. Despite these impacts we're targeting a strong overall growth consistent with our long-term financial goals. Let's look at these growth projections by business segments. Slide 16 highlights our expectations for internal growth rate across our three business segments. For our North America Physical business, we are expecting 2008 internal growth to be within the 7% and 9% range. This outlook reflects consistent performance in core revenue growths supported by continued strength in our shredding services business. Offsetting these gains of difficult comps and complementary services, particularly special project and recycle paper revenues. For international physical segment, we are projecting internal growth in the 6% to 8% range. 2007 was a good year in international supported by high growth rates and complementary services, reflecting benefits from two large government projects. As we've already discussed one these projects has ended and the other is ending shortly thereby setting up lapping issues for the year. Additionally, we are working to drive UK's growth rates to more appropriate levels. Finally, we are expecting to see improvement in the internal growth of our worldwide digital segment. Our digital data protection business continues to perform very well overall and we're looking for expansion in the growth rates of our digital archiving and intellectual property management services. Moving on to slide 17, we can see how the growth ranges we are driving towards translate into dollars for the full year, as well as for Q1. For the full year 2008, we're expecting revenues to be in the range of $3 billion to $3.08 billion. OIBDA be in the range of $763 million to $791 million and CapEx to be between $440 million and $480 million, as noted, internal growth is expected to between 7% and 9%. Please note that our fist quarter and full year guidance includes expectations for a $3 million charge on a plan to asset disposition. When considering the Q1 guidance, remember that in the first quarter, we'll be feeling the diluted impact of the Stratify acquisition and the other major acquisitions completed after the first quarter of 2007, primarily ArchivesOne, RMS, Accutrac and [indiscernible]. Q1 OIBDA will also be impacted by some carryover impacts from investments initiated in the fourth quarter. Note that OIBDA in the first quarter is historically impacted by a higher mix of labor and transportation and intensive service revenues, seasonally higher energy costs and fully loaded payroll taxes and incentive compensation expense. Finally, on slide 18 we present our expectations for the full P&L below the OIBDA line for the full year 2008. An important item to note here is the tax rate. We are expecting our structural tax rate to be 36% for 2008. As we said earlier, we are likely to see continued variability in the effective tax rate with FX changes and other discreet items such as tax law change and changes to our tax reserves. As discussed earlier, FX changes added about $0.07 per share for EPS in 2007. We also saw $0.02 per share net benefit in 2007 rate from net gains and asset dispositions. Our 2008 EPS guidance assumes no benefits from discreet tax items and has noted a sum [ph] of $3 million or 1/5 per share as negative impact from a planned asset disposition charge in Q1. Thanks and I'll now turn the call back over to Richard.
C. Richard Reese - Chairman and Chief Executive Officer: Thank you Bryan and before I go to questions. I and of course Bob's here with me. We will make just a couple of comments about the announcement as we exercised our succession plan with Iron Mountain. First is, held couple of key cashes [ph], what's happening and why right now I'll try to answer those for you briefly. What is happening is Christine Eyre [ph] and I informed the Board that I thought it was the appropriate time that we exercised our succession plan that we build out over time. And that that plan would be is that Bob take on the roll as President, Chief Executive Officer for the company and I would move to a role of the Executive Chairman. The title of Executive Chairman and I will speak to myself is pretty easy to talk about, what Bob's said going to do for everybody's clarity; he will run the company, not me. But as the Executive Chairman, I will be a full time employee of the company. I'm not going anywhere until I hey throw me out. They haven't decided to do that yet. But, I wanted to focus my time and it's hard to be out in the hot seat of the CEO and stay totally focused on the key issues that I think are important that I think I have the most leverage at this stage of the company and this stage of my career to focus on one of these product and in that case embracing and inculcating our products with the 26 years knowledge that our... not just me personally, but by organization has build up and I want to stress this is not just me personally, but I kind of know where all the knowledge, most of the knowledge pockets are and I'm going to start following together and help organize those, because it's going to be a real factor of us really taking our competitive advantage and really getting that out in the market place. And of course focused on customers I've done a lot of customers work in last year too and I want to do more. I know that's a great feedback into the product space and it's also a useful... use of my time and talent. And last and certainly not least is advising the Board and as a Chairman help leading the company to the next phase of our business, but also being an advisor to Bob, for those of you haven't been watching carefully, you will note that Bob and I have been working as a partnership for the last couple of years with this eventuality without a the certain date at all, but with the eventuality of just doing this in mind and I will tell you that I haven't made a... I haven't made any important decision without discussion and getting it advised in council. Since he's been here for the matter, but I don't expect you will make an important decision for the next few years without my advice in the council. Bob, I mean go ahead Bob.
Bob Brennan - President and Chief Operating Officer: Yes we will more to... it's interesting, sitting here, listening to, we've known each other for five years.
C. Richard Reese - Chairman and Chief Executive Officer: Yes.
Bob Brennan - President and Chief Operating Officer: We've been working together day and night. Everyday for 3.5 years, we've built up a team together. We refined our strategy and our execution plans together and you've been teaching me the business I'd to learn this from a lot of people, but specifically you, so this is not used --
C. Richard Reese - Chairman and Chief Executive Officer: AndI don't for this to our organization that's the message we are getting as we brought started to roll that, starting late last night and into this morning. So I want to stress a couple of message that this is normal succession. I we are doing it for the right time and the right reasons. The question you might ask that why not now why year ago, one is that two years from now, I'll be 62 years old in about a week and a half or two weeks something like that. But I still got more energy than most, but now what I used to have quite candidly, and the speed of the pact is always at the pace of the leader and I can look forward to declining energy because I can look back to I have had declining energy. And this company needs a leader that describes significant energy to take it forward, because the opportunity is just too big, not to go get it and I'm not about to let us miss that opportunity. So right now it's a right time for me, the right time for the company, because I know some significant things that need to be done that I want to focus on and standing. [Technical Difficulty]. We are getting tremendous feedback on our line.
Operator: Yes sir. Management is hearing that.
C. Richard Reese - Chairman and Chief Executive Officer: Do you hear that feedback operator?
Operator: Yes sir.
C. Richard Reese - Chairman and Chief Executive Officer: Can you do anything about it?
Operator: I'm trying now sir. [Technical Difficulty].
Unidentified Company Representative: Operator can you hear me now? That is like a [indiscernible]. Operator?
Operator: Yes sir.
Unidentified Company Representative: We are going to hang up and dial you right back if you ask the participants to please give them a technical difficulty notice and put them on hold. While I will make sure, can you hear me clearly now?
C. Richard Reese - Chairman and Chief Executive Officer: I gather the operator cannot hear us. If there everybody else there can hear us, we're going to hang up and come back. We apologize but not our, [indiscernible]. We will rise [ph] again traffic check. [Technical Difficulty].
C. Richard Reese - Chairman and Chief Executive Officer: Operator. Okay I've told that you can hear me. I apologize, but we did do it. Let me finish and then we'll get on with it because I realize that time has got long. I thinking we didn't do it. Let me finish and then we will get on with it, because I realize that time is getting long [ph]. I was explaining to you what I was going to do and why and I was explaining to you why timing is now and it's partly for me, personally, but it's mostly about it's the right time for the company and last but certainly not the least as Bob is ready and I do want to spend a second explaining my decision to recommend Bob for this role that probably I didn't make that decision and board did agree, of course. But there is really three ways I'll look at it. Bob is a better executor than I am, it's just that simple and that's what the company needs for the next evolution, because the company is much more complex where it needs a different way of thinking about it. For those who watch this carefully, you'll see that his influence and execution has made us a better company. And I expect he will continue to enhance that. Bob has built out a significant team, because he's good at doing that and we have the right people to go forward. He's learned the business. He's got the intellectual curiosity to learn the business and he has learned it. Does he know it as well as I've known, no and he never will and that's fine. Because it took me 26 years, but he's learned what it takes, he's learned the important side of it. But last and most important, he's the right kind of human being. He fits the culture of Iron Mountain and he fits the culture of what I believe is important to at least our long term shareholders and that is he understands the balance of value creation, running the balance between shareholders and employees and customers and the fact that you have to actually meet the needs of all those. And he does and he flies the mission, that's the only thing, that's... it's a term I use, but one thing I have learned in my long years is what really cuts the really, really good people from just the great people from the good people is when you have a problem, when you have an issue, a lot of managers and I see this is in our customers all the time, they like to phone it in and they like to delegate it. But if it's important, the CEO flies the mission and shows up and Bob has that in him, so and for all those reasons he's the right guy. And I'm not going anywhere so and I will do things those accepting the emails, both employees, as well as shareholders but I... it's almost like that [indiscernible] didn't read the message. I've got a full time job. I'm hanging in around the work until till I'm needed any longer and right now I think they need me so I am here to stay. With that let me turn it over to Bob.
Bob Brennan - President and Chief Operating Officer: You guys have a couple of comments pictured, thanks to your partnership and fixing your confidence, the confidence of the Board of Directors and the senior team and taking on this role. I do look forward to seeing more, even being more external in this new role. I will be more external with our customers as well as with our investors and working with you in the years to come. What Brian had said what I have said, what Richard said what I want to know more than anything else is that we are capably committed to providing consistent long term financial performance and I will reporting to you on that and working with you in the years to come. Okay with that hopefully the technologies working where we are getting some messages that the, we can't get the operators asking for Q&A and I'm going to turn it over to the operator and help that she ask for your questions. Question And Answer
Operator: [Operator Instructions]. And your first question comes from the line of David Gold with Sidoti. Please precede, sir.
David Gold - Sidoti & Company, LLIRM: Hi good morning.
Unidentified Company Representative: Hi David morning.
David Gold - Sidoti & Company, LLIRM: ouple of questions for you. First Bob, the plan right now which are due about to maintain the roles of President and COO as well.
Unidentified Company Representative: The COO positions David will not be back really because we feel about the team we feel very good about the TNL leaders that we have in the America's, Europe, digital Asia-Pac, Latin America's seems to build out.
Unidentified Company Representative: Yeah. In fact we created if you go back and remember in time Bob was President of North America and then I ask him to step in the COO specifically created that role to putting him in a position of they tested him quite frankly with more importantly for him to learn and he's certainly passed the test and he certainly learned but that was not a long-term load in our remarks.
David Gold - Sidoti & Company, LLIRM: I see as far as President keeping that.
Unidentified Company Representative: He will be the President and Chief Executive Officer; I'll be the Executive Chairman.
David Gold - Sidoti & Company, LLIRM: Perfect and then question probably for Brian. On the first quarter margins were off better than the guidance, I guess if I look at the year guidance implies goal with 25 and I'll say 26.5%, 27% margin for the first quarter, looks like you're implying 22% to 24%. Just curious if you can sort of add in I mean Stratify hits you little bit but it doesn't seem like its should hit you that much if a, you can some color on that what specific for the first quarter dragging you down. And then b, a sense of presumably the expectation would for ramp-up throughout the rest of the year to get to the guidance.
Unidentified Company Representative: Yes we will try to talk a bit about this on the call but there is some normal seasonality in the business where in the first quarter you have things like over higher impacts from energy cost or mix of business is more labor cost intensive and you have things like the full impact of IT accruals and payroll taxes so there is normal seasonality that goes on. And this year year-on-year as well we do have a impact of a couple of over factors, one is they dilute impact of acquisitions not just Stratify, the some other acquisitions that we completed after Q1 last year, and we do have some carryover investments spend that we initiated some investments in Q4 and we'll see some of those impacts carrying over into Q1. One other one time item of know to which we highlighted in the call we do expect that $3 million charge in Q1 related to a sale of the building. So some of those all go up and that I will spend in the Q1 number we are very much committed to delivering strong full year performance, that's what we are focused on and we are committed to deliver result in that range.
David Gold - Sidoti & Company, LLIRM: Okay and I mean I guess, specifically Stratify was first quarterish, in year-on-year adjustment seasonality is basically significantly down year-to-year and from the acquisition front and presumably if we expect it to make some decent progress for the year.
Unidentified Company Representative: We are just down to $3 million one time loss and really the balance of the delta is the comp some total of acquisition impacts and some of the carry over investments fronts effect.
David Gold - Sidoti & Company, LLIRM: Okay and just one other, in the fourth quarter, the year end comp benefit adjustment presumably overtime, we think that would be end of every year factor and I guess just curious, have there been changes in compensation particularly this year or was it just particularly good year and we didn't accrued as much as direct the [indiscernible]
Unidentified Company Representative: It was one I want to be clear it wasn't one adjustment, it was a number of smaller adjustments in a variety of areas. It's not unusual for us to make year end drop to these estimates. It just happen as the adjustments of all kind of moved to one... in one way and they sum to a meaningful numbers, so this was a different kind of forecast it was $5 million without that we wouldn't have been behind it, the year remains, we were surprised by that if you will but its not any an issue within the business, its just the sum total of the number of adjustments that were made at year end.
David Gold - Sidoti & Company, LLIRM: Fair enough. Thank you all.
Operator: And your next question comes from the line of Michel Morin with Merrill Lynch. Please proceed.
Michel Morin - Merrill Lynch: Yes good morning, couple of quick questions. First the minority interest was large this quarter. In fact the first loss in a very long time, is that a result of some of the recent investments that are being made in investments something we should assume or continue for the foreseeable future?
Unidentified Company Representative: We are investing in our international growth and we do expect some negative impacts from those investments as we build out, this is as Richard's thought. Quite a bit of [indiscernible], it's a long term build for storage and we will see a consumer yield from that with those investments over time so I think what you're seeing is just some of that impact.
Michel Morin - Merrill Lynch: Okay and then similar kind of, and asset disposition usually those of head and tail gains, is there anything specific here that makes this one of it different than others? I'm talking about the Q1 and the plan that singled out?
Unidentified Company Representative: Nothing unusual we do see a gain and we'll see a book losses on asset disposition as well. Its normal activity in terms of changing our where we're locating our facilities and we're going to see a book loss related to a move that we're going to make over next year. Early this year.
Michel Morin - Merrill Lynch: Okay. And in terms of the planned building moves that you also talked about in the release. Is that also associated with the acquisition, the recent acquisition?
Unidentified Company Representative: No, that was your referring to some of the higher DNA and Q4 and that wasn't specific acquisitions for just the some adjustments, we made our depreciation and amortization related to some of those numbers.
Michel Morin - Merrill Lynch: Okay, thanks very much.
Unidentified Company Representative: Thank you.
Operator: And your next question comes from the line of Andrew Steinerman with Bear Stearns. Please proceed.
Andrew Steinerman - Bear, Stearns & Company: Hi, gentlemen. Its little of the same subject of how do we connect out of full year margins of being steady, first quarter margin being dragged by those three things, seasonality, dilution for acquisition and investment. If you could just sort of quantify which pieces of those will start going away in the second, third, fourth quarter. I think it would be a little clear and I thought I heard because investment part will continue to carry forward.
Unidentified Company Representative: I think we are just in context we are focused very much on our full year objectives Andrew and I think the, some of the impacts that we will see through the year we will start to get through some of the lapping of the diluted acquisitions that were done later in the year, I think we'll see relatively bigger impact from investments and growth year-on-year early in 2008, those will be the factors contributing but we are comfortable with our full year outlook and very much committed to delivering in that range.
Andrew Steinerman - Bear, Stearns & Company: Right to make a full year of steady margins with margins being down so much in the first quarter, you really have to kind of get margin ramping pretty much so I think right after the first quarter.
Unidentified Company Representative: Yes, we are comfortable with what our full year outlook implies and we are committed to delivering the number.
Andrew Steinerman - Bear, Stearns & Company: Okay and just one more clarification. When we are talking about gross margins, I heard next day in the press release that sort of net, when it gets the company sliding shredding in DMC, are those businesses really big enough that buy themselves the faster would be so significant in terms of gross margins.
Unidentified Company Representative: I think the, they are reasonably significant parts of our business and in terms of the relative mix and what we had on the year-on-year basis we continue to see that stronger service growth as bigger services bigger part of mix relative to storage and that had some dilutive impact on our gross margin in Q4.
Andrew Steinerman - Bear, Stearns & Company: I though that international growth would have been more important next factor than shredding growth for we are just thinking about gross margins.
Unidentified Company Representative: Okay while we had our strong service growth in international markets as well, that effect will be.
Andrew Steinerman - Bear, Stearns & Company: Okay thanks for all the clarification. I appreciate it.
Unidentified Company Representative: Thank you Andrew.
Operator: And your final question comes form the lines of Scott Schneeberger, with Oppenheimer. Please proceed.
Scott Schneeberger - Oppenheimer & Co.: Hey good afternoon. Could you, you guys keep alluding to these increased investments? Could you give a little bit of color better impact a fourth quarter and in the first something, it sounds like things are taper off in second half as you've mentioned but you could us a little more color in what they are in?
Unidentified Company Representative: We talked a bit about this as we on a last call talking about some of the things that we are advancing in terms of our phase in for Q4 but we are investing an increase systems capability including support of whole lot of oracle financials in international markets. We are rolling out time and attentive systems to been the manager. Our labor cost, we got investments since operating systems to improve or mange in the transportation and chain of custody and we are continued to invest against our security capability to meet our customer requirements. So you know sum total those are the big themes, we had talked that we are going to do some phasing into Q4, this year some that is carrying over to Q1, that's impacting our outlook.
Unidentified Company Representative: And we are investing heavily in security because we believe that our investors will all our competitors combined and that we will be able to expect value for that in the obvious once those specimens are made.
Scott Schneeberger - Oppenheimer & Co.: Okay, thanks in the starting business, could you speak to what your expectations are for used paper prices year-over-year and with whatever granularity you can provide us. Obviously we are working for something that serve here we're going to comparison and then as a follow up to that how is the competitive environment and do you believe that you can get pricing on servicing if you see a slide in the newspaper prices. Thanks.
Unidentified Company Representative: But when I take the first one, and then I ask, let Bob comment on the competitive environment but you know the paper prices are turning in the $200 type range and we've seen that quite often a bit. We are basically projecting a, a maintenance of those kind of levels going and the balance of the year end and so we will see less benefit from growth and paper prices this year and that had a meaningful benefit to our 2007 growth rate. So that's some of the explanation in terms of where the, the complimentary revenue growth won't be as sizeable this year. And the paper price market of, the paper market itself is undergoing structural changes, that are good for a long, that are bit long term and truth is we have never been through recession under the solid new structure then. Structure changes is enormous amount of volume now in the recycle paper markets going offshore to China as the mills over there and it is their primary source [indiscernible]. So, it used to be five years ago, when we were already, I guess seven years ago, with as far as the business go like that. In majority the paper stake in the U.S. demand at the paper. But lot of it goes off shore and because of that its just driven the prices up because there's a worldwide shortage of fiber. What our recession will do with that if we have such recession and it remains on the, we're just trying to be conservative and not certainly and certainly considering going higher. On your other question about paper prices come down, the services prices go up, historically what we've seeing there is yes, because we have seen service prices come down as paper prices going up. Okay, historically you'll see a short turn around but there will always be the classic lag and there was a lag coming into it is paper prices rose, it took a lot of our service prices to come off it. They'll be a lag the other way, paper prices com down, the last time I saw this when paper prices took a big dip what you saw was a lot of small vendors go out of business and a lot of recycles pull back out of the business. The business that was changed some other ways [indiscernible] and that is there's a lot of different markets and I won't go through them and I don't need your graphic markets and the segments and how do you think about it. We are focused in a couple of segments. One is particularly is the large multi city customer that we were buying the service as the compliance offering because we use leveraging our footprint to do that and we think it will it's a different value proposition and by the way a tightly price market but a very high value markets.
Scott Schneeberger - Oppenheimer & Co.: Thanks. One final one, realize energy prices are going to be seasonally high in the first quarter and obviously they are up good debt in the first quarter year-over-year, you just can you give us any thoughts on how that effects you overall and say as a percent of revenue and what you are looking for the year thanks?
Unidentified Company Representative: Our energy cost are basically in the range of 2% to 3% of our revenues and so there that can have an impact I mean we do have some ability to recover changes cost through things like fuel surcharges with our customers but we think a reasonable outlook on energy cost, that's factored into our sides [ph].
Unidentified Company Representative: And can you give you me some sense, of Bob there is rough numbers for about half our energy cost goes to rolling side of transportation and about half of it goes towards our building so forth in. As Brian said everyone in the world but we are getting there but certainly North America we've been rolling this out, we've got quite within place over the last year or so as when you renew contracts and so forth and energy I guess hedged against prices up and down its fair deal for the customers from the transportation side.
Scott Schneeberger - Oppenheimer & Co.: Alright thanks very much.
Unidentified Company Representative: Okay thanks.
Operator: And you have a follow-up from the line Michel Morin with Merrill Lynch. Please proceed.
Michel Morin - Merrill Lynch: Yes thanks for taking the follow-up question. Richard I think in your comments you mentioned that you're seeing another rounds, rounds to for role up in U.S., can you elaborate a bit more on that. Is this coming from private equity investors and you seem to think that it's a net positive for you and I struggle a little bit to understand how that can be?
Unidentified Company Representative: Well look that is competitors of the local gas. There is nobody tougher than a last period. Okay nobody, so the more there is take out better competitive data is quite [ph] once driving it, it's a great business there, there is yes its private equity. There is this four groups that will probably come at a leverage fees, companies I would expect there will be to drive good returns. The more intelligent capital that comes into business that returning, the better it is for everybody and so that we see that it is already around, don't just respect and this competitors as always. That's that I am going to say is that private owners are always a tougher competitors.
Scott Schneeberger - Oppenheimer & Co.: Alright thanks very much.
Operator: At this time there are no further questions. I would like to turn the call back over to Mr. Richard Reese for closing remarks.
C. Richard Reese - Chairman and Chief Executive Officer: Thanks Michael for early, [indiscernible] wanted to ask a question. We got a strange communication platform right here.
Operator: Yes sir, he remains off from the line.
C. Richard Reese - Chairman and Chief Executive Officer: Okay sorry to do that but just want to make sure by heading of. First I apologize for being long I committed sometime ago to keep this call an hour. I broke my commitment. I apologize that we did have a loss recover given in the announcements and given the year end. Just to the summary business is running well, I understand you want to look in the numbers everything else. We are committed to running this business. To hit our annual targets and hit our long term targets. I have never seen the business and the better position last few day, I am pleased for operating, I'm happy with what we are doing and we are making real progress strategically. We are well positioned to the year 2008 and we are committed to delivering in the result and I think we have the thing to do it. So I do appreciate your support. I want to relate one more last time though I'm still planning to be around so, hopefully I will see many of you, you will see me missing out from the shareholder. I can't avoid it for have a little around that so, look forward to see you occasionally, less often but occasionally and thank you for your support and I will talk to you next quarter. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the presentation; you may now disconnect and have a great day